Operator: Good day, ladies and gentlemen, and welcome to the TechPrecision Corporation Fiscal 2022 First Quarter Financial Results. At this time, all participants have been placed on a listen-only mode, and the floor will be open for questions and comments after the presentation. It is now my pleasure to turn the floor over to your host, Brett Maas with Hayden IR. Sir, the floor is yours.
Brett Maas: Thank you. On the call today is Alex Shen, Chief Executive Officer; and Tom Sammons, Chief Financial Officer. Before we begin, I'd like to remind our listeners that management's remarks may contain forward-looking statements, which are subject to risks and uncertainties, and management may make additional forward-looking statements in response to your questions. Therefore, the Company claims the protection of the safe harbor for forward-looking statements as contained in the Private Securities Litigation Reform Act of 1995. Actual results may differ from those discussed today, and therefore, we refer you to a more detailed discussion of risks and uncertainties in the Company's financial filings and SEC. In addition, projections as to the Company's future performance represents management's estimates as of today, August 12, 2021. TechPrecision assumes no obligation to revise or update these forward-looking statements. With that out of way, I'd like to turn the call over to Alex Shen, Chief Executive Officer, to provide opening remarks. Alex?
Alex Shen: Thank you, Brett. Good day to everyone, and thank you for joining us. Our first quarter was highlighted by an increase in gross profit of 20% to $833,000 when compared to the same quarter one year ago. Our gross margin improved to 24.4% for the first quarter of fiscal year 2022, higher than the previous quarter, higher than the prior year quarter and higher than the average for fiscal year 2021. Net sales were $3.4 million or 4% higher than the same quarter a year ago. Our first quarter results also included a $1.3 million gain for loan forgiveness under the Small Business Administration Payroll Protection Program. Our sales order backlog was $17.6 million at the end of June 2021. We have booked an additional $2.6 million of orders during the month of July 2021. Now I would like to turn the call over to our CFO, Tom Sammons, to continue with the review of our fiscal 2022 first quarter results. Tom?
Tom Sammons: Thank you, Alex. As Alex mentioned, net sales for the first quarter of fiscal year 2022 were $3.4 million compared to $3.3 million in the same quarter a year ago. We recorded an increase in revenue in the precision industrial markets, which more than offset slightly lower defense revenue. Our defense backlog remains strong as new orders for components continue to flow down from our prime defense contractors. Our four key defense customers account for about 80% of the $17.6 million net backlog at June 30, 2021. Cost of sales were $2.6 million, a slight decrease compared to the same quarter a year ago, and gross profit was $833,000 compared to a gross profit of $697,000 in the same quarter a year ago. Gross margin was 24.4% compared to 21.2% realized in the same quarter a year ago. Our fiscal year 2022 first quarter reflected a favorable product mix and lower unabsorbed overhead. SG&A expense decreased by $61,000 or 8% primarily on lower compensation and outside advisory fees, offset in part by higher travel costs as the COVID-19 travel restrictions subsided. Operating income increased to $100,000 for the first quarter compared to an operating loss of $96,000 in the first quarter a year ago. As mentioned, our PPP loan was forgiven by the SBA in May 2021. This non-recurring $1.3 million gain is included in our first quarter statement of operations. Interest expense decreased by 48% to $30,000 compared to $58,000 in the first quarter of fiscal 2021. Interest expense for the first quarter of fiscal 2022 includes the reversal of $12,000 for interest accrued prior to the PPP loan forgiveness. Net income was $1.4 million in the fiscal 2022 first quarter, which includes $1.3 million for the forgiveness of the PPP loan compared to a net loss of $116,000 for the fiscal 2021 first quarter. For the three months ended June 30, 2021, we generated $137,000 of cash from operating activities compared to a cash outflow from operating activities of $369,000 in the prior year quarter. Cash outflow from investing activities was only $4,000 in fiscal 2022 first quarter, but we expect to spend approximately $1.1 million to purchase new fixed assets during the fiscal 2022. Our total debt was $2.5 million at June 30, 2021, were $1.3 million lower than the reported on March 31, 2021, due to the forgiveness of the PPP loan in May. Our net debt at June 30, 2021, was $249,000, down $1.450 million from March. Cash balance at March 31, 2022, was $2.2 million compared to $2.1 million at March 31, 2021. Working capital increased by $300,000 to $5.5 million since March 31, 2021. With that, I will now turn the call back over to Alex. Alex?
Alex Shen: Thank you, Tom. TechPrecision is proud and honored to serve the United States defense industry, specifically naval submarine manufacturing through its Ranor subsidiary. We continue to see meaningful opportunities in our defense sector primarily in the nuclear submarine business for the next 12 months and beyond. Information that has been made available in the public domain indicates that the COVID pandemic disproportionately impacted United States Navy Virginia class submarine shipbuilding. Some infrastructure capabilities became bottlenecks, leading to delays, which have made their way from the shipbuilders down to the supply chain. The shipbuilders are getting back on track should increase the flow of opportunities for our Ranor subsidiary. Before we take questions, I would like to make two points. The first point is with regard to STADCO. We expect to close the acquisition of STADCO during the week of August 15, 2021. Please remember, however, that we cannot give any assurance that the closing will occur within that specific time frame or at all. At this time, we will not be making any further comments or taking any questions with regard to any aspect of that transaction. After the closing of the transaction, we will host a conference call as soon as practicable. The second point is to remind all of us that we do most of our work in industries that are highly sensitive to confidentiality, which preclude us from speaking publicly about many things that a company not operating in these fields might discuss. As such, there are real limits as to what I can discuss and sometimes those limits change. Please understand that my saying that I'm not allowed to discuss that is based on customer requirements and the environment in which we conduct business. Operator, we can start our Q&A session and open the line for questions. Thank you.
Operator:
Alex Shen: Thank you, everyone. Operator, you can close the session.
Operator: We do have a question coming in from Aaron Warwick at ES Capital. Your line is live. So you please proceed.
Aaron Warwick: I just wanted to get on and thank you for your commentary about COVID and some of the bottlenecks that it's created and how that's opened up. I think that's a lot of clarity that we maybe didn't have and maybe you couldn't talk about on previous calls. So anyway, thank you for that. I appreciate the transparency there. I look forward to hearing from you guys, hopefully, next week or whenever you can close that deal.
Alex Shen: Thank you.
Operator: [Operator Instructions] We have no questions at this time. Do you have any closing remarks you'd like to finish with?
Alex Shen: I do not. Thank you all for your attendance. Have a good day.
Operator: Thank you, ladies and gentlemen. This does conclude today's event. You may disconnect at this time, and have a wonderful day. Thank you for your participation.